Operator: Good morning and welcome to the Toll Brothers third quarter 2015 earnings conference call. Please note this event is being recorded. I would now like to turn the conference over to Douglas Yearley, Chief Executive Officer. Please go ahead, sir.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Thank you, Denise. Welcome and thank you for joining us. I'm Doug Yearley, CEO. With me today are Bob Toll, Executive Chairman; Rick Hartman, President and COO; Marty Connor, Chief Financial Officer; Fred Cooper, Senior VP of Finance and Investor Relations; Joe Sicree, Chief Accounting Officer; Mike Snyder, Chief Planning Officer; Kira Sterling, Chief Marketing Officer; Don Salmon, President of TBI Mortgage Company; and Gregg Ziegler, Senior VP and Treasurer. Before I begin, I ask you to read the statement on forward-looking information in today's release and on our website. I caution you that many statements on this call are forward-looking statements based on assumptions about the economy, world events, housing and financial markets, and many other factors beyond our control that could significantly affect future results. Those listening on the web can email questions to rtoll@tollbrothersinc.com. We completed fiscal year 2015's third quarter on July 31. Third quarter net income was $66.7 million or $0.36 per share diluted compared to fiscal year 2014 third quarter earnings of $97.7 million or $0.53 per share diluted. Fiscal year 2015 pre-tax income was $107.5 million versus $151.3 million one year ago. Revenues of $1.03 billion and Home Building deliveries of 1,419 units declined 3% in dollars and 2% in units compared to fiscal year 2014's third quarter totals. The average price of homes delivered was $724,000 compared to $732,000 in 2014's third quarter. Net signed contracts of $1.23 billion and 1,479 units rose 30% in dollars and 12% in units compared to fiscal year 2014's third quarter. The average price of net signed contracts was $834,000 compared to $717,000 in 2014's third quarter. This was the highest average price for any quarter in our history, driven by an increase in the number and average price of California contracts. On a per community basis, fiscal year 2015's third quarter net signed contracts rose 5% to 5.5 units compared to 5.25 units in 2014's third quarter. Backlog of $3.69 billion and 4,447 units rose 19% in dollars and 6% in units compared to fiscal year 2014's third quarter end backlog. This was the highest quarter end backlog we have had in eight years, dating back to the second quarter of 2007. At third quarter end, the average price of homes in backlog was $829,000 compared to $737,000 at 2014 third quarter end. This was the first time ever that our quarter end average price topped $800,000. We ended the quarter with 267 selling communities compared to 256 one year ago. Through the first four weeks of August, contracts in units were up 16% compared to the same period last year. Here are some community highlights. At Porter Ranch in L.A. County, we have taken 27 deposits in the past two months, averaging approximately $900,000. We continue to see strength in our active-adult brand in the West with Regency at Damonte Ranch in Reno, Nevada, where we've taken 28 deposits in the last two months. We also continue to see strength with our East Coast active-adult communities. We recently opened Regency at White Oak Creek in Raleigh, North Carolina, where we have taken 17 deposits since opening in mid-July. And in New Jersey at the Enclave at Shackamaxon, we sold out our first phase consisting of 14 lots in one afternoon at an average price in the upper $800,000. In Seattle at our Woodhaven community, we have taken 20 deposits since opening in July while raising prices $40,000. Our rental apartment business continues to outperform our expectations. We are currently leasing up three new communities totaling about 1,100 units, one in Downtown Washington D.C., one in Suburban Philadelphia, and our newest offering, a 417-unit, 38-story tower in Jersey City at faster paces and higher rents than we had originally projected. We are currently in construction on four other rental communities totaling over 1,400 units stretching from Massachusetts to Maryland and have nearly 3,000 additional units in our pipeline. We will expand this business nationally. This housing recovery appears to be built on a very solid foundation. We believe that the slow but steady acceleration we and the industry are experiencing bodes well for the long-term health of the housing market based on increasing household formations, pent-up demand and the current industry-wide production that is still well below historic norms. With our great land positions, well-established brand, broad product and geographic diversification, and solid financial footing, we are very optimistic about the future. With an increase in the average price of our homes in backlog, our growing and profitable presence in California, increased earnings projected from our City Living division, and overall solid current demand in most of our markets, we believe we have significant room for growth and increased profitability in fiscal year 2016 and beyond. Now, let me turn it over to Marty.
Martin P. Connor - Chief Financial Officer: Thanks, Doug. Our core Q3 gross margins exceeded our expectations and we have revised our full-year margin expectations upward by 20 basis points. Our Q3 unit delivery total was consistent with our expectations, but a slight difference in mix resulted in a lower average delivered price than anticipated. Additionally, our unit deliveries and revenue dollars were slightly below the prior year's same quarter, reflecting the challenging sales environment in fiscal year 2014. Third quarter Home Building gross margin before interest, write-downs and a $4.9 million net reserve increase was 25.7% of revenue compared to 26.1% in 2014's third quarter, which excludes a $7 million reserve reversal. The decline from our third quarter a year ago was anticipated as we have fewer deliveries this year from certain high-margin City Living projects. We recorded $18 million in impairments this quarter, including $11.9 million associated with two non-strategic communities we are considering opportunistically selling. The proceeds from these potential sales and monetizing the related impairments for tax purposes will generate approximately $75 million in cash to be redeployed into our business in a more capital-efficient manner. Third quarter SG&A was approximately $116.2 million. This was higher than the $110 million in the third quarter of 2014. As a percentage of Home Building revenue, SG&A was 11.3% for Q3 of fiscal year 2015 compared to 10.4% in Q3 of 2014. The dollar increase compared to a year ago was in line with expectations and is associated with normal cost increases and an increase in backlogs, contracts and joint ventures as we incur overhead before we recognize revenues and income. Our Q3 joint venture income was $6 million and our Q3 other income was $14.1 million. We reiterate our full year guidance of $75 million to $90 million of pre-tax income from the JV and other income lines combined. This quarter, we reported a 37.9% effective tax rate. Our tax rate guidance for the fourth quarter is approximately 31% and our full year is now estimated at around 32%. Our fourth quarter is expected to benefit from some anticipated tax accrual reversals. Our share count on a diluted basis averaged 185.1 million shares for the quarter. We now expect to deliver between 5,350 and 5,650 homes and update the estimate of our average delivered price per home to be between $745,000 and $760,000 for fiscal year 2015. The range for our year-end community count is narrowed to 270 to 285. Our pre-interest, pre-impairment, pre-reserve gross margin for the fourth quarter is estimated to be 26.7%, and our full-year guidance is revised upward by 20 basis points to 26.2%. SG&A as a percentage of revenue for the full year should be very consistent with 2014, which was approximately 11%. We are encouraged by our new signed contracts and continue to expect margins to expand and net income to grow in fiscal year 2016. Now let me turn it over to Bob.
Robert I. Toll - Executive Chairman: Thanks, Marty. We are encouraged by the report last week of improvement in single-family housing starts to the best pace since 2007. Although seasonally adjusted total starts rose to an annualized 1.2 million pace, that leaves lots of room before we are at historic norms dating back over 40 years of 1.5 million to 1.6 million starts. Population continues to grow, yet the supply of homes in the market remains well below historic norms, as does new home production. An improving employment landscape, three consecutive quarters of accelerating household formations, pent-up demand, increasing rents, and still attractive affordability are supporting the for-sale housing market's steady recovery. As the job picture continues to improve, greater demand should lead to rising home prices, which we believe should encourage more people to sell their existing homes and move up or add a second home. Based on these and other factors, we believe the housing market remains on an upward trend and has considerable room to grow. Now back to you, Doug.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Thank you, Bob. Thank you, Marty. Denise, let's open it up for questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. And our first question will come from Stephen Kim of Barclays. Please go ahead.
Stephen S. Kim - Barclays Capital, Inc.: Thanks very much, guys. Thanks for all the information and the color, as usual. I was curious if you could talk I guess a little bit about your land spend and your intentions for land spend, I guess either for the remainder of this year or, even better, heading into next year. If you could, maybe quantify that for us.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Steve, it's Doug. We spent $86 million this quarter on land. The largest piece of that was $22 million on a great property in the West Village of Manhattan, and the rest was spread around the country. We continue to be opportunistic. We don't allocate capital to divisions. All land approval, as you know, occurs right in here and with us. And the deal flow right now is good. We're being careful. We're very sensitive to the markets where we think we have plenty of land and those markets maybe that aren't performing as well, and we weigh that every time a deal comes in. But $86 million is a little bit light for us for a quarter, but that's not an indication of us backing off. It's really just the timing of when deals close because remember, when we actually close on a piece of land may be a very different timeframe from when we tie it up, so I really wouldn't read much into that. And I think overall, the deal flow has been about the same for the last year or two.
Martin P. Connor - Chief Financial Officer: I think it's also worth noting, Doug, that in the fourth quarter, we closed on two sizeable parcels in California that are not in that $86 million figure.
Robert I. Toll - Executive Chairman: That will be for Q4.
Martin P. Connor - Chief Financial Officer: That will be Q4.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Coming up.
Robert I. Toll - Executive Chairman: Coming up.
Martin P. Connor - Chief Financial Officer: Yes.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Correct.
Martin P. Connor - Chief Financial Officer: But it's already closed.
Robert I. Toll - Executive Chairman: Closed.
Martin P. Connor - Chief Financial Officer: And that was around $160 million...
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: In August.
Martin P. Connor - Chief Financial Officer: ...in August.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Correct, right.
Martin P. Connor - Chief Financial Officer: So $86 million for a quarter, $160 million for a month, it's pretty lumpy.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Exactly.
Stephen S. Kim - Barclays Capital, Inc.: Okay, that's great. I don't know – I didn't think you had mentioned a development number. Does that $86 million include development? And if not, do you know what the development number was?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: It does not include it. Gregg?
Gregg L. Ziegler - Treasurer & Senior Vice President: For Q3 of fiscal 2015, the development spend was $165 million.
Stephen S. Kim - Barclays Capital, Inc.: It was $165 million?
Gregg L. Ziegler - Treasurer & Senior Vice President: Correct.
Stephen S. Kim - Barclays Capital, Inc.: Okay, great. That's great. And then I guess my next question relates to multi-fam. So you talked a little bit about, in broad brush strokes, your plans for that. I was wondering if you could maybe talk a little bit more about how you see your strategy evolving. Do you anticipate, for example, any particular end game with these units? Are you going to maintain all of them in portfolio? Is there going to be any special change in strategy that you're starting to implement as a result of what you've learned so far? Can you just provide a little more color around what you're doing on that side of the business?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Sure. So as I mentioned in my comments and in the release, we're thrilled with the business. We have focused on Washington DC to Boston, and we're doing great. We're now looking to expand it nationally. We are a minority partner in most of the new deals. That would be a 25% equity investor with 75% coming from our friends on Wall Street. Some of the early deals were straight 50:50. None of the deals are on our balance sheet. Everything is being done in venture, and that will continue. I think we're comfortable with the 25:75 ratio. With that, we obviously get management fees and development fees and whatever other fees that we deem appropriate. Some of this we will hold long term, and some of it we will sell. And that is based upon the performance of the asset, the location, and of course, the appetite of our partner, because some partners are shorter term than others. So you will see a blend of hold on some and sell-it stabilization on others. But we are very excited to continue to grow the business on a national platform.
Stephen S. Kim - Barclays Capital, Inc.: Great, I appreciate that. Thanks very much, guys, and best of luck.
Martin P. Connor - Chief Financial Officer: Thanks, Stephen.
Robert I. Toll - Executive Chairman: Thank you.
Operator: Our next question will come from Stephen East of Evercore ISI. Please go ahead.
Stephen F. East - Evercore ISI: Thank you. Good morning, guys. Doug, on the order front, maybe we can talk a little bit – you all talked about what was going on in active-adult. It sounds like it's strong. I guess, if you could also – are the rates there running faster than your overall company? And then, what you're seeing demand versus price in City Living? And in the South, you actually had some come down; was interested in how much of that was Houston, if you will, versus maybe Florida. And any color for August, if you have it, along the order front.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Sure, Stephen. The active-adult is doing very well. I highlighted three communities in my comments, one out West and two back in the East. We're very excited to expand active-adult out West. We're in Denver with it. We're in Reno with it. And we will be opening within the next year or so in Las Vegas. And you'll see more from us in the West with active-adult. And that line, for us, is doing very well. Traditional single-family is also doing very well. And City Living – this summer City Living was a little slower. It's always slower in the summer. The Hamptons had a great summer, and our buyers, for the most part, are there. I don't think we're going to know a lot more until November, so we can get through with September and then October to see how the fall plays out in New York. We're optimistic. We're very well positioned. We've also talked many times about our margins. So we have room if we need to throw a few bucks at some buildings. We also have a lot of deliveries coming up, as we've talked about. So we're in the final stages of construction in a number of locations. The South, Houston was slower, but Florida was also a bit slower. So I can't blame the numbers in the South, only on Houston. For us, the Carolinas, which is Raleigh and Charlotte, and then Florida and then Texas, I think we were disappointed throughout the South. In Houston, we have three major master plans where all of the builders are buying all of the pods that we have offered to them. In fact, they're anxiously looking for more sections and we can get land development moving, and we're doing okay. But it has certainly been a bit slower than prior quarters.
Stephen F. East - Evercore ISI: Okay, thanks. And then on the gross margins, you all have been killing it in California. And I'm guessing, as you look into next year, you have City Living deliveries, but I assume also the California margins are accelerating. Is there a way to put some color around how much those margins are moving, and is that the biggest driver or is it City Living as you look into next year?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Marty, go ahead.
Martin P. Connor - Chief Financial Officer: Stephen, I think your presumption is accurate in terms of specific color on next year margins. We'll get into more detail on that three months from now, but certainly, City Living and California margin expansion are the main drivers.
Stephen F. East - Evercore ISI: Okay. And would you mind giving us an idea maybe where you started with California and where you are now at least; if you don't want to give absolute levels, at least how much that's increased?
Martin P. Connor - Chief Financial Officer: Do we have that?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: We can...
Martin P. Connor - Chief Financial Officer: You got it, Gregg?
Gregg L. Ziegler - Treasurer & Senior Vice President: We don't have that for gross margins or time.
Martin P. Connor - Chief Financial Officer: Yes.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: We can certainly talk about Shapell...
Martin P. Connor - Chief Financial Officer: Over the last 12 months to 18 months.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Gregg, can you give me stats on Shapell when we opened Shapell and Shapell today?
Gregg L. Ziegler - Treasurer & Senior Vice President: We have first – that's a good – maybe that's the best example since it has such stark contrast. So, Stephen, with our Shapell, when we got it in Q2 2014, it was very low as it worked through purchase accounting, et cetera. And we were posting 10% to 15% gross margins through that. But by the time we got to, call it, Q4 of 2014, we had already posted up to a 27% gross margin with Shapell. And then through 2015, we were able to maintain those strong margins once – as we continued to rebrand the product out there, et cetera. So, maybe that's the best example to give you how much movement we've seen rather than going through our core California operations, which tend to be more stable through the years.
Stephen F. East - Evercore ISI: That's great.
Martin P. Connor - Chief Financial Officer: So there's a bit of noise in these two numbers here, Stephen, but margins from Shapell in 2014 were in the mid- to upper-teens, and they're in the mid-20s% this year.
Stephen F. East - Evercore ISI: Perfect. All right, thank you.
Operator: Our next question will come from Michael Rehaut of JPMorgan Securities. Please go ahead.
Michael J. Rehaut - JPMorgan Securities LLC: Thanks. Good morning, everyone. The first question I had was on the gross margins. Obviously, solid story for you guys and able to raise it slightly for the full year in terms of the outlook for this year. Obviously, you don't want to talk too much in terms of specificity or the degree of magnitude that you expect. The improvement, we're still three months away, and obviously, there are some variables. But I'm going to try anyway to get a little more detail out of you and we'll see. But I mean, I think there is, to a degree, a range of thought out there. The bulls are thinking perhaps even as much as 200 basis points or 300 basis points. I think that more people are probably somewhere in the neighborhood of 100 basis points. I don't think anyone is kind of – when you talk about improvement, no one is necessarily thinking about 20 bps or 30 bps. Is there any way possible just to give us any sense of between 100 basis points and 300 basis points type of range? Is it somewhere in the middle, is it closer to the 100 basis points or is it just that you prefer not to comment at this point?
Martin P. Connor - Chief Financial Officer: I think we're going to go with the last option.
Michael J. Rehaut - JPMorgan Securities LLC: All right, fair enough. It is something that people are kind of wondering about, so I did want to kind of put it out there. The second question I had was regarding community count, and obviously, the guidance at the high end of that range came in a little bit for the end of the year. And just in terms of thinking about, obviously, there are yourselves and other builders looking at there are certain delays, municipality related, et cetera. Is the right way to think about the, let's say, the taking out that upper end, is that more of would you expect some of those communities to hit or – let's say in the first half of 2016, and there might be a little bit of a catch-up effect, or this kind of, let's say, whatever you were expecting to possibly get in at the end of this year, you kind of have to push everything out and there wouldn't be like this spillover, big catch-up necessarily, but the growth would continue to be more at kind of a linear rate.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: I think that's fair. The late openings, unfortunately, is part of our business. That last permit, which the guys assure us, they'll have next week, and therefore, we can open the week after. Sadly, it seems to take a month or two months, and we just get pushed out. There's other strategic decisions on occasion to not open out of a sales trailer, but wait until a model home is opened and beautifully decorated, and everything is perfect. And on occasion, we strategically decide at a fairly late date to push back, but these communities are coming. They haven't been terminated or cancelled. They're just being delayed. But the communities we expect for next year may also follow that same story line. So I think a linear growth model is most appropriate.
Michael J. Rehaut - JPMorgan Securities LLC: Okay, I appreciate that, Doug, one last quick one, if I could. Just going back to the apartment business for a moment. I was hoping maybe you could just give the aggregate amount of equity or investment that you have in this business across the different projects and what that might grow to over time. And as you look at this maybe three years, four years down the road, is this something that is even possible to be kind of spun off or sold off in its entirety or just given the nature of the different partner-by-partner type of a dynamic, it's going to more run off and play out in a kind of – not in any kind of one singular event but it will just kind of play off over time.
Martin P. Connor - Chief Financial Officer: Michael, right now, we have around $140 million of Toll Brothers equity invested in these projects. We've both been on record that we're very comfortable in the $250 million to $300 million range. Then, I guess, we grow more and more confident in what we're seeing in the performance of these apartments, that number will grow even further. In terms of a long-term strategy associated with the apartments, I think Doug mentioned earlier that some are going to hold and some we are going to sell, and I think we're going to remain flexible and opportunistic in looking at a number of long-term strategies.
Michael J. Rehaut - JPMorgan Securities LLC: Okay, Great, thanks, guys.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: You're welcome.
Operator: Our next question will come from Mike Dahl of Credit Suisse. Please go ahead.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Hi, thanks for taking my questions. I wanted to talk about the order trends and try to get a sense, a better sense of kind of the monthly cadence, because, obviously, you talked a few months ago about May being flat, but you had a pretty rough first week, strong balance back the final few weeks. Still seems like you need year-over-year order growth in the kind of 20% range in June and July. I wanted to get your sense of just on the ground, is there any increased consistency in trends that you're seeing in monthly or per community and as it relates to August as well?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: No, Mike, I don't think there's anything unique. There's no special trend going on week-to-week in August. We did mention what happened at the beginning of the last quarter with the timing of Easter from the prior year and some carryover of contracts, which greatly impacted that first week. We didn't have that phenomenon this year. And I think order is up 16%, speaks for itself. And there's not much that we or you can read into the individual weeks within the month.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): I guess as a follow-up, though, if I recall correctly, August of last year was – it was a pretty weak month relative to where the quarter ultimately came out. I think orders were down 7% for August and then actually up 10% for the full quarter, so tougher comps in September and October. So just should we be thinking about that type of moderation from the 16% in August?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: No.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Okay. Second question, just then specifically, obviously a lot of concerns. You've given some of the volatility in both currencies and foreign markets. And so, any comments that you can make around what you're seeing from your foreign buyer demographic on both coasts over the past month or two?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: No, there really hasn't been much of a change. In Northern California, 10% of our buyers are foreign nationals. I can't give you the breakdown as to what nationality, but 10%, and that's been a consistent number over the last couple of years. Southern Cal, it's also about 10%. That is down a little bit from when it was around 15% or even up as high as 20% in 2014. In New York City, we run about 13% foreign nationals. And that number, again, has been fairly consistent. What's going on lately, it's too early to tell. It's too early to read anything into it over the last couple of weeks. We're obviously keeping a very close eye on it, but most of our international buyers are Asian-American, been here for generations, not impacted by their home country economy. And that's certainly what's driving the California market, Seattle, and many markets for us. And that buyer seems quite confident and ready and able to buy. But we're obviously, as everyone is, keeping a very close eye on it. But right now it's just too early to tell you much more than that.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Okay, I appreciate the color. Thanks.
Operator: And our next question will come from Susan Maklari of UBS. Please go ahead.
Susan Marie Maklari - UBS Securities LLC: Good morning.
Martin P. Connor - Chief Financial Officer: Good morning.
Susan Marie Maklari - UBS Securities LLC: In terms of your pricing out in California, it's been very impressive and continues this quarter. Can you give us some idea of how you think about your ability to further raise prices as we go out and what you're hearing from your salespeople in terms of what's going on as it relates to that?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Right now the markets out there continue to be very strong. We continue to have terrific pricing power. We manage pricing weekly. We'll open a new phase and there will be a line of people at the door when we open at 10:00 AM, and we're able to raise price once again in many of our locations in Orange County and up in the East Bay and South Bay of San Francisco. We're continuing to experience that type of overwhelming demand, and we move the price. So the one great example we've given is Hidden Canyon in Irvine Ranch, Orange County, where we have two product lines that opened at about $2.3 million and $2.6 million, and they're now up $0.5 million each. And we continue to have hundreds of people that wait for the next phase of a few lots to be offered, and then they come without pause. So our strategy is very local. It's community by community. We listen closely to what our sales teams say and what the weekly results show, and we move price accordingly. So right now California continues to be very hot for us in our locations.
Robert I. Toll - Executive Chairman: We're trying to be cautious because we're always aware of running off the cliff. So far, we don't see a cliff, we just see nice sunny skies and level ground.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: With a view of the ocean.
Robert I. Toll - Executive Chairman: Of course, firmly.
Susan Marie Maklari - UBS Securities LLC: Okay.
Robert I. Toll - Executive Chairman: And that's in triplicate.
Susan Marie Maklari - UBS Securities LLC: And then as we think further out in the City Living business and you look to potentially expand that beyond maybe the New York Metro area, how do we think about the margin differential in that business and the variations that we could see over time?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: We've always said that we underwrite to a minimum of a 10% higher gross margin for City Living because it's riskier, it's more expensive, and it deserves that better margin. So at a minimum, you should underwrite to mid-30% gross margin versus our mid-20%. New York City over the last five years has performed significantly above that because while we bought deals at a mid-30% margin, they ended up, because of the strength of that market, performing significantly better. I'm not sure we can replicate that going forward. We'll have to see how the New York market plays out. But we're very careful in what we buy. In terms of expansion beyond New York, we have struggled, and we are frustrated that we're not further along. We have one for-sale condo building in Washington DC, Bethesda, Maryland actually, with a second one under contract. We have looked for five years now in Boston unsuccessfully. We have scoured Miami Beach. We've had employees in San Francisco committed to find City Living buildings. And so far, we have not succeeded. We have a smaller operation in Philadelphia that we're looking to grow, but we have to be very careful in Philadelphia because it's not New York and there are just less opportunities. So most of the growth you see will be in New York City. We continue to have great deal flow in New York. I mentioned closing this quarter in the West Village, what we think is probably the best market of Manhattan, and we're thrilled with our specific property. And we have other deals we're looking at. But to turn a 35% gross margin into the 50%, 55%, 60% that we've been able to achieve over the last five years, I'd love to see that. But I'm not sure New York will double again in the next five years as it did in the prior five. We'll have to see how it plays out.
Susan Marie Maklari - UBS Securities LLC: Okay, thank you.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: You're welcome.
Operator: Our next question will come from Alan Ratner of Zelman & Associates. Please go ahead.
Alan Ratner - Zelman & Associates: Hey, guys. Good morning. Thanks for taking my question. On the pricing front, the increase you've seen, as you highlighted, the first time in the company history above $800,000 in backlog, I guess as you look across your portfolio and you look at the markets there, as you underwrite new deals and you think about the buyer pool at that price point, separating out, I guess, the coasts from your other markets like Carolinas and Florida and Texas, how deep do you see that buyer pool going at that $800,000-plus price point? Is that a number you think you could grow the business at a 10% – 20% clip for multiple years and maintain that level of pricing, or are you going to need to mix in a bit lower in order to see volume growth as well?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Alan, we already do mix in lower. That number is driven by primarily California, although there are other places certainly where we build $1 million-plus homes. So absolutely we can sustain and expand order growth at $800,000 with the new mix of Toll Brothers. We're a new company. We've had a significant presence for many years on the land we own in California, in Seattle, in City Living, in some very expensive markets of Florida, in the Virginia, Washington DC suburbs, in New Jersey, et cetera, et cetera. And all of those markets...
Robert I. Toll - Executive Chairman: Recently, Dallas region.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: We have $1 million-plus offerings in Dallas.
Robert I. Toll - Executive Chairman: Right.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: But we also have $500,000, $400,000, $300,000 offerings in other places and the active-adult, while luxury active-adult tends to be lower priced, because the homes are smaller. But when I look at our – the land holdings, the location, the mix where we're identifying new land opportunities, absolutely, the new Toll Brothers can sustain and grow at that price point.
Martin P. Connor - Chief Financial Officer: Alan, just to give you some breakdown of that, 17% of our homes delivered this year were greater than $1 million, 20% were between $750,000 and $1 million, and 63% of our homes were less than $750,000.
Alan Ratner - Zelman & Associates: Got it, that's very helpful. And just a follow-up on that, I don't know if Don is on the phone, but what type of trends are you seeing in terms of your buyers' qualification and affordability? And any income ratios you might be able to provide? And how that's been trending over the last year or so as the price points move up would be interesting.
Donald Salmon - President & Chief Executive Officer, TBI Mortgage Co.: Our buyers remain to be strong. We have on the margin, a few people that struggle to qualify, but overall, we're able to get the vast majority of our people into a mortgage if they want one. We're not seeing any issue at all, really, on a macro sense with qualifying for loans.
Robert I. Toll - Executive Chairman: I think it's interesting to note that the jumbos can be gotten, in many instances, for less than their performance.
Donald Salmon - President & Chief Executive Officer, TBI Mortgage Co.: Actually, today, the jumbo rate is below the conforming rate, which is pretty astounding. We're seeing very strong demand for jumbo. We have – we will – this quarter coming up, fourth quarter, we will introduce at least three, and we're hoping five, new jumbo investors. One will be significant for us. We believe we're going to introduce a, for the first time in our history, direct sales to a major insurance company, which will be huge. So – and that also, by the way, is going to open up financing for foreign nationals but to a greater degree than we have today. So, I don't see any issues at the moment in terms of availability or liquidity in either the conforming or the jumbo market.
Alan Ratner - Zelman & Associates: That's great to hear. Thanks a lot and good luck.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Thank you.
Donald Salmon - President & Chief Executive Officer, TBI Mortgage Co.: Thank you.
Robert I. Toll - Executive Chairman: Thank you.
Operator: The next question will come from Megan McGrath of MKM Partners. Please go ahead.
Megan McGrath - MKM Partners LLC: Good morning. Just wanted to follow up first on your land sales. A two-part question. One, could you let us know where those two non-strategic impaired locations were? But more importantly, looking a little bit longer term, it feels as if this was sort of a strategic decision in terms of trying to monetize these assets and get the tax break and the cash in. So should that be something that we expect to see more of going forward?
Martin P. Connor - Chief Financial Officer: Megan, those communities are in the Mid-Atlantic. I don't think we want to get any more specific than that. We've had them for a large number of years, and we just came to the conclusion that redeploying the cash into something on a current basis would be a more capital efficient decision than waiting for the markets to recover. In terms of additional situations like this, I don't foresee any right now, but we don't want to ever say – we don't want to say never. So I don't anticipate anything right now.
Megan McGrath - MKM Partners LLC: Okay, thanks. And then a just quick follow-up on City Living. You're very good about giving your anticipated pipeline of deliveries. Any significant changes there as of this quarter?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Gregg?
Gregg L. Ziegler - Treasurer & Senior Vice President: No real changes, we have a couple of projects that we expect to begin their deliveries into Q4 of this year, those projects will continue to deliver throughout fiscal 2016, and we still have a Philadelphia project that deliver this quarter. We have another Philadelphia project that's going to – anticipated to start delivering in Q4 of 2015 as well. And as you know, on our website, under Investor Relations section, we always keep our City Living pipeline current and future. We'll have that updated again later today for you, so that will give you all the detail that I'm not going into detail right now on.
Megan McGrath - MKM Partners LLC: Great, thank you.
Robert I. Toll - Executive Chairman: You're welcome.
Operator: The next question will come from Jade Rahmani of KBW. Please go ahead.
Ryan J. Tomasello - Keefe, Bruyette & Woods, Inc.: Hi. This is actually Ryan Tomasello on for Jade. Thanks for taking my question. Again, regarding City Living, I was wondering if you can provide some of your thoughts on the New York City luxury high-rise market and recent commentary on – from other players in that market on the projected increases in the new supply that is expected to come on over the next 18 months to 36 months. And has that changed any of your underwriting or pipeline expectations for that segment?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: It hasn't changed our underwriting. We're still very bullish on New York. I mentioned that this summer has been slower. Part of that was self-inflicted because we were very aggressive with pricing last year, and we are now a little bit more cautious in our pricing strategy. But yes, there does appear to be more coming on line over the next couple of years. We're obviously well aware of it and study it. And when we look at an individual property in a given neighborhood, we focus on what else may be coming online in that neighborhood over the next couple of years. And so, that all goes into the analysis, but we're not overly concerned. We just continue to be cautious, as we always have been, with how we buy land in New York.
Robert I. Toll - Executive Chairman: In general, I would say that the demand continues to seem to be growing greater than the supply. But we can't make any yet statements about that on a firm basis, just how things seem.
Ryan J. Tomasello - Keefe, Bruyette & Woods, Inc.: Okay, thanks. And then just regarding the broader land market, can you comment on the types of deals you're seeing currently and the level of competition on those deals? Has the deal flow been concentrated into certain markets and how have you been sourcing those deals?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: No. Deal flow is everywhere. Competition is the same, those with money, the big builders and the wealthy investors. As I've said many times, we're opportunistic. And we have land teams all over the country. We have a different appetite in different markets based on our performance and the local economics of a market, but nothing has changed in terms of location of land, size of deals or competition. It continues to be a healthy land market. It's a competitive market, and we are, we think, very good at it, and very selective and careful on our underwriting.
Ryan J. Tomasello - Keefe, Bruyette & Woods, Inc.: Great, thanks, guys.
Robert I. Toll - Executive Chairman: Denise, Steve Sullivan from Horizon Financial Group, over the Internet, asks do we foresee any further consolidation within the public sector homebuilders. I would say the answer briefly to that is yes, but I'm not going to go into anything further than just that answer. So thank you, Steve, for the question. Denise?
Operator: Thank you, sir. Our next question will come from Jay McCanless of Sterne, Agee CRT. Please go ahead.
Jay McCanless - Sterne, Agee CRT: Morning, everyone. First question I had, in the West segment, it looks like backlog conversion slowed down to a high-20%s rate from a mid-30%s rate earlier this year. Could you discuss what's going on there, and is it weather-related, is it related to product, et cetera?
Gregg L. Ziegler - Treasurer & Senior Vice President: I don't think there's any specific reason that's going on there. We've been selling very well in the West and we're hoping for that delivery pace – as you know, it takes us 9 months, sometimes 12 months to build a home. So, we're hoping for that delivery pace to significantly pick up in fiscal 2016. So, there's just a little bit of a lag going on right now.
Jay McCanless - Sterne, Agee CRT: So to follow on that question, what are your average cycle times now compared to, say, a year ago or two years ago?
Gregg L. Ziegler - Treasurer & Senior Vice President: I don't think they've changed at all. Generally, we're managing the backlog in each and every one of our communities. As soon as it starts to get past 9 months or 10 months, it becomes clear that we're having a lot of success in the community and it's time to evaluate what to do with that project, raise price effectively. And that hasn't changed ever, that mentality.
Jay McCanless - Sterne, Agee CRT: Okay, thank you.
Robert I. Toll - Executive Chairman: You're welcome.
Operator: And the next question will come from Collin Verron of RBC Capital Markets. Please go ahead.
Collin A. Verron - RBC Capital Markets LLC: Hi. Thank you for taking my questions. Going back to the apartment rental business, I was wondering if you guys had more of a long-term goal as to what you expect that business can contribute to your earnings and what the timeframe of really achieving that is?
Martin P. Connor - Chief Financial Officer: So, the apartment development business when we sell a building would generate a sizeable gain depending on how big that particular apartment building is...
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Hopefully.
Martin P. Connor - Chief Financial Officer: ...hopefully. Whereas the kind of ownership and operation generates more cash flow and less net income, because you have a depreciation expense. The REITs have worked around this by developing a funds from operation metric, which is something, if our size warrants, we may consider supplementing our Home Building operation net income with a funds from operation metric. But at this point, those kind of situations are a bit distant because this business is, at this point, small as a percentage of Toll Brothers, but hopefully growing. So, I don't think you will see much cash flow or operating income for the next couple years out of the apartment business, with a potential exception of a gain if we were to choose to sell one of these newer, recent developments.
Collin A. Verron - RBC Capital Markets LLC: Great, thank you very much for the color.
Robert I. Toll - Executive Chairman: You're welcome.
Operator: Our next question will come from Alex Barrón of Housing Research Center. Please go ahead.
Alex Barrón - Housing Research Center LLC: Good morning, guys. I was hoping you could expand on your comments around the South. I guess in Houston, it's pretty clear that maybe the oil industry is what's causing the slowdown. But is there anything you guys have thought about what caused the slowdown in Florida and the Carolinas this quarter for you?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Alex, no.
Robert I. Toll - Executive Chairman: It's hot in Florida.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: They're small markets for us. Texas is the biggest of the South, obviously, and we're most focused on what's going on in Texas. Dallas has been good. Houston has been okay. I mentioned that the other builders are anxiously buying all the land we can feed them in our big very successful new master plans. Raleigh and Charlotte are very small markets for us and have not performed well for some time. We need to be bigger and we need to be better in those two markets. And Florida, as Bob said, it's hot in Florida. This isn't the time we really focus on. This is not when we sell most of our homes down there. Most of our offerings, if not all, are second home, snowbirds. So we're not reading all that much into it. And our attention is mostly focused upon getting better and bigger in Raleigh and Charlotte; finding more land in Florida, which is difficult; keeping a close eye on Houston; and continuing to grow in Dallas, which has been a great performer for us.
Alex Barrón - Housing Research Center LLC: Okay, sounds good. And then I guess everybody keeps anticipating the Fed is going to raise rates at some point, and some people would assume that that might impact mortgage rates as well. I'm wondering if you guys are just taking a wait-and-see approach, or if you're being a little more cautious as far as how aggressively you raise prices in the case that mortgage rates do start to go higher. How are you thinking about that?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Don?
Donald Salmon - President & Chief Executive Officer, TBI Mortgage Co.: I can't comment on how we'll raise prices. I can comment on rate strategy a little bit. We offer some very aggressive and very attractive long-term rates, rate locks that buyers can take advantage of. Almost all of those offer a float down to current market if rates in fact drop or don't go up. So the pricing strategy I'll leave to those who are smarter than me. But as far as rates, I know they're going to go up or down or stay the same. I just can't tell you how much or in which direction.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: And on the pricing strategy for our homes...
Martin P. Connor - Chief Financial Officer: Thanks for that insight.
Robert I. Toll - Executive Chairman: Very well said, well said.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: We are not making pricing decisions in the field based on a future mortgage rate that we have no control over. We are comfortable that if rates go up, we believe they will go up very slowly. And based on the financial strength of our buyer, we do not think it will have a significant impact on their ability to buy our homes. So we obviously keep an eye on rates and think about it, but we don't try to anticipate future rate moves with the pricing decisions we make today.
Donald Salmon - President & Chief Executive Officer, TBI Mortgage Co.: Right.
Alex Barrón - Housing Research Center LLC: Got it, thank you very much.
Robert I. Toll - Executive Chairman: You're welcome.
Operator: Our next question will come from Mike Zener (sic) [Ken Zener] of KeyBanc. Please go ahead.
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: Hello, gentlemen.
Martin P. Connor - Chief Financial Officer: You changed your name, Mike?
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: Barbie let me. Kind of a broader question, but because, look, you're hitting high prices, California is obviously playing a part of that. You're talking about supply and demand in City Living, traditionally Manhattan, some Jersey locations, also moderating, yet California, where you had a lot of success with Shapell on single-family, yet there are a lot of urban areas here. Could you talk about how perhaps the Shapell investment – obviously successful – might limit your ability to pick up larger parcels perhaps out here if Asian funding doesn't come through with some large-scale projects that have been announced out in California? How much can you guys – should we be surprised if you spent $200 million in California on something more of the urban city or something like that? Is that in play for you guys just conceptually? Thank you very much. That's it.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Ken, we are back in action buying ground in California. Shapell hasn't hurt us in that regard. I think it helped us because it's made us bigger and better and has given us more confidence in the market. And I'm not aware of any individual future properties that we may have looked at that were funded with Asian sources that have now dried up. What I do know is that we're seeing more deal flow out of Northern and Southern Cal than we've seen in quite a while.
Martin P. Connor - Chief Financial Officer: In fact, the two deals I mentioned earlier that we closed on in the fourth quarter were California deals...
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Correct.
Martin P. Connor - Chief Financial Officer: ...the $160 million.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Right.
Robert I. Toll - Executive Chairman: We just agreed in principle on a major deal...
Martin P. Connor - Chief Financial Officer: Right.
Robert I. Toll - Executive Chairman: ...in California, so...
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Right.
Robert I. Toll - Executive Chairman: ...we're encouraged.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: And whether it goes urban, it hasn't been a big focus in the South. I mentioned earlier that we scoured San Francisco and were unsuccessful, and we're going to look again. One of the problems in San Francisco is the land tends to trade without approvals. And while the locals may be comfortable with that, we are not. And so we haven't been all that competitive yet on San Francisco deals. But we will continue to look in San Fran and we are going to start fresh with an assault on some urban locations within greater L.A. That doesn't necessarily mean downtown, but it could mean Newport Beach, it could mean Santa Monica. It could mean a lot of other parts of L.A. that have an urban lifestyle and Toll Brothers City Living would be perfect. So nothing to report except that we're going to take a very hard look.
Robert I. Toll - Executive Chairman: San Diego.
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: Thank you.
Operator: The next question will come from Will Randow of Citi. Please go ahead.
Will Randow - Citigroup Global Markets, Inc. (Broker): Hey. I guess good afternoon, guys, and thanks for fitting me in. A follow-up thinking about City Living in terms of joint venture equity income should become a bigger piece of the business next year. I don't know if you can help us bookend thinking about 2016. Should we be thinking about a double for JV income, or what's the best way to think about that?
Martin P. Connor - Chief Financial Officer: I think you're in the ballpark, but I think we're going to defer anything more specific until the fourth quarter.
Will Randow - Citigroup Global Markets, Inc. (Broker): All right, thanks for that. And then it's been asked a couple times but I just want to get some more clarity on it. In the past, you've waited to price your higher-end units in Manhattan for a significant premium. But recently on high-end units, I'll call it $10 million-plus in Manhattan, you've seen actual price reductions. How do you think about the high-end market in Manhattan, and what's your competitive response to that?
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: The high-end market in Manhattan is a little bit softer. We don't have a lot over $10 million. We have very few units in a couple of our buildings that get over that number. Our bread and butter is, I call it $3 million to $7 million, probably averaging in the $4 million to $5 million range, where the market is very strong. So, it's not a big part of our business. We're not building the trophy buildings with the $30 million, $50 million, $70 million, $90 million units. But I think it is, from what I read and with respect to the few units we have that get up there over that number, it's a little bit softer.
Will Randow - Citigroup Global Markets, Inc. (Broker): Thanks for that color and congrats on the progress.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Thank you.
Martin P. Connor - Chief Financial Officer: Thank you, Will.
Operator: And our final question will be a follow-up from Michael Rehaut of JPMorgan Securities. Please go ahead.
Michael J. Rehaut - JPMorgan Securities LLC: Hi. Thanks very much. I appreciate it. Most of my questions have been answered. I think the – I was kind of curious just to kind of getting a little more detail, granularity on the regional markets in Houston, but I think you've kind of hit on that. I guess my only follow-up would just be when you think about the West, and obviously doing extremely well for you, maybe you could give us a sense of what that could be? Obviously, with Shapell and you continue to look at different areas there, this year it's in a – as a percent of closing, so far, it's in the high-20%s in terms of your mix of units for the year. What could that be over the next two or three years? Would you expect the West as a region and California to kind of stay around that level, or could that grow by another 5% or 10% of the overall mix?
Martin P. Connor - Chief Financial Officer: Well, I mean there's a lot of ins and outs that go along with that kind of guesstimate, Mike. But I think we could see the West getting up to 40% in the near term. The strength in Seattle...
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Nevada.
Martin P. Connor - Chief Financial Officer: ...Nevada, even in Phoenix, complements the strength we see in California.
Michael J. Rehaut - JPMorgan Securities LLC: Great, Great, thanks a lot, guys.
Robert I. Toll - Executive Chairman: You're welcome.
Operator: And, ladies and gentlemen, this will conclude our question-and-answer session. I would like to turn the conference back over to Douglas Yearley for his closing remarks.
Douglas C. Yearley, Jr. - Chief Executive Officer and Director: Thank you very much, Denise. Thanks, everyone, for listening in. Have a great final few weeks of summer and we will see you soon.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect.